Operator: Good morning, ladies and gentlemen, and welcome to Orange's Q3 2024 Conference Call. The call will be hosted by Ms. Christel Heydemann, the CEO; and Mr. Laurent Martinez, Chief Financial Officer, with other members of the Orange's Executive Committee for the Q&A session that will start after. Thank you. And let me hand the call over to Ms. Christel Heydemann. Please go ahead, ma'am.
Christel Heydemann: Good morning, and thank you for joining our Q3 results presentation. Following a summer marked by the success of the Olympic Games, where we demonstrated to the world our unparalleled expertise, we are pleased to report strong Q3 results and confirm our full year guidance. In France, despite the competitive market on the low end, we have delivered a good commercial performance. Middle East and Africa strongly contributed to our Q3 results with the sixth quarter in a row of double-digit growth. I will seize this opportunity to zoom in on this. Let's start with a few words on the Paris 2024 Olympics, which was a great opportunity to demonstrate our technological leadership by providing full connectivity for this unprecedented event. Whereas in Tokyo for the Olympics in 2021, there were five operators connecting the event. Orange was the only operator for these games with over 1,000 technical experts mobilized. We played our role perfectly as a trusted partner with record traffic peaks on our networks. To give you an idea, 5G traffic in Paris doubled during this event compared to last year. We are proud of this success, which has strengthened our brand image and I'd like to thank all our teams who contributed to it. We will capitalize on this legacy to develop our activity, especially on B2B. Let's now zoom in on our France business. In Q3, the French competitive environment was broadly stable compared to Q2. The mobile market was still competitive at the low end, but mobile-only services represent only 13% of revenues for us in France. The fixed broadband market competition dynamic was stable in Q3. In October, almost all players launched new convergent offers to foster customer loyalty and value. We pursue our volume value strategy with segmented commercial strategy for customer acquisition, continued upsell and the launch of new offers to fuel convergent base and globally further increase value. Our strategy continued to drive retail, excluding PSTN growth, at over 2.8% in Q3, and for H2, we expect retail services, excluding PSTN, to grow by more than 2.5%. This Q3 financial performance was sustained by a solid commercial performance. Moving to the next slide. This quarter, we delivered plus 83,000 mobile net adds and fixed broadband net adds were back to growth at plus 6,000 with sustained strong fiber momentum, with more than 1 million FTTH net adds in the last 12 months. These good commercial results on fixed broadband and mobile will fuel our convergent upsell potential. We continue to drive a solid convergence momentum with convergent revenues up by almost 5%, which represents 80% of the Q3 retail, excluding PSTN growth. This is driven by robust convergent ARPU growth, which reached almost €78, an improving convergent commercial trend in Q3 compared to H1. Convergence is a pillar of our strategy. It's all about customer retention and value creation, as demonstrated by ARPU's continued growth and very low term. On average, our convergent customers stay with us more than 10 years. Going forward, we target to stabilize the convergent base in Q4 while continuing to drive value on our mobile and broadband-only customer base. Now moving to MEA. MEA delivered the sixth quarter in a row of double-digit growth, and I'd like to take the opportunity to highlight the strength of our position. We are providing an essential service on a continent where there is still a huge market potential. The population on our African footprint is expected to grow by 13% or nearly 60 million people in the next five years, while data usages and 4G penetration will continue to increase. The growth of MEA is based on 16 countries benefiting from leadership positions, 160 million customers and four growth engines, data, mobile 3G and 4G, fixed broadband, Orange Money and B2B with a strong untapped potential. We have a very efficient operating model with shared services centers and high network quality, allowing us to deliver strong customer experience together with innovative offers such as Max-It, our super app, with now 12 million customers as we speak. The risk inherent to the continent is mitigated, thanks to a well-diversified country portfolio with no country representing more than 15% of Middle East and Africa revenues, and we have a solid local anchorage. Currency risk is also mitigated with 70% of our revenues in currency pegged with euro or US dollar. MEA is self-financed with debt mainly in local currency. This successful strategy fuels MEA and group cash generation with EBITDAal minus eCapEx average growth of nearly 16% between 2019 and 2023 in reported figures. We definitely believe in the strength and the potential of our business. Now moving to our Q3 financial results. In the third quarter, revenues were up 1.6% year-on-year to €10 billion versus plus 0.9% in Q2, primarily driven by the sustained growth in retail services by 2.5% which offset the minus 3.3% decline in wholesale. From a segment perspective, Middle East and Africa has continued to deliver an outstanding double-digit growth, while France growth accelerated to 1.3% supported by solid retail growth. Orange business revenues decreased in the quarter due to the current complex IT market conditions. As in the previous quarters, Europe revenues slightly decreased year-on-year due to low margin activities while retail services grew by 1.3%. In line with our full year guidance, group EBITDAaL grew by 2.7% this quarter at €3.3 billion, thanks to the strong performance in retail services. Finally, eCapEx accounted for 14% of sales in Q3, aligning with our target of around 15% this year. I will now hand over to Laurent for the review by business segment.
Laurent Martinez: Thank you, Christel. So, starting with France with revenue up 1.3% this quarter, driven by a continued solid retail performance with retail ex PSTN up at 2.8%, fueled by convergence. Wholesale, as expected, continues to decline, but to a lesser extent than in previous quarters, mainly thanks to seasonality. France remains committed to operational efficiency and cost optimization. As a result of this good performance, we expect to grow retail services ex PSTN by more than 2.5% in the second half and confirm that we will deliver a stable EBITDAaL in 2024. In Europe, retail services growth accelerated to 1.3%, while low-margin activities revenues continue to decrease as expected, in particular on wholesale. Retail services performance was fueled by positive commercial momentum with very solid net-add and improving churns. This allowed us to confirm with confidence our low- to mid-single-digit EBITDAaL outlook for 2024. Moving to MEA, with 10.5% growth this quarter, MEA achieved excellent double-digit growth with reported figures at almost 6%, driven by solid growth in retail services over 11%. Another quarter of high customer increase with an impressive 4 million mobile additional customers during this quarter. Growth drivers that are at full speed, specifically on 3G, 4G, accelerating with seven countries growing by more than 20% in the third quarter and Orange Money with 21% growth. Looking ahead, we do confirm our ambition of double-digit EBITDAaL growth in 2024. So, moving to Orange Business. Revenues for this quarter decreased by 2.6%, primarily due to the expected decline in voice. This was partially mitigated by sustained dynamic growth in Cyberdefense, up to 10% this quarter. Our leadership in Europe on cyber has been recognized recently by ISG, IDC and Omdia. Digital Services was slightly down in the context of complex current IT market. We continue to drive our transformation plan, and we are implementing the voluntary departure plan as targeted. Our objective remains, as you know, to half the EBITDAaL decrease in 2024. Competing with Spain, with, as you know, MASORANGE, they consolidated since the second quarter. We maintained our leadership in a market, which remains competitive by focusing on value management with steady positive convergent ARPU trend and churn down. Total revenue is up 1.1% year-on-year in the third quarter with an accelerated retail, up 1.4%. Momentum of MASORANGE since March has been remarkable with a number of key achievements in the last six months. First, materializing synergies. We are definitively on track to achieve at least €500 million in cost synergies from four years post closing with €85 million realized up to September and a target of around €100 million for 2024. Second, we leverage our premium content on the high-end market, notably on football, and we are leaders in terms of commercial acquisition share. Third, we are putting network [front-end] (ph) centers with the launch of our Fiberco initiative with Vodafone Spain and our 5G coverage now reaching 86% of the population. Last, on efficiencies, we did sign a redundancy departure plan aiming at 8% reduction of the workforce. I will now hand over to Christel to conclude this presentation.
Christel Heydemann: Thank you, Laurent. I would like to conclude this presentation simply by reaffirming that the strong Q3 results reinforce our confidence in achieving our 2024 and 2025 full year guidance, which remains unchanged. Thank you for your attention. With Laurent and the entire Executive Committee, we are now ready for your questions.
Operator: [Operator Instructions] Our first question comes from Mr. Andrew Lee from Goldman Sachs. Please go ahead, sir. Your line is open.
Andrew Lee: Good morning, everyone. Thanks for the presentation. I just had a question around convergence really. As you described in your -- clearly in your presentation that convergence is a core pillar of your growth strategy in France. And obviously, the trends were pretty strong in Q3. So, I wondered if you could just help us understand how you think about the impact from the new convergent tariffs launched by a couple of your competitors in recent weeks. Any kind of first glimpses of run rate of impact of those tariffs would be great for us to understand and also how we should think about it more structurally. And then maybe how the convergence competition that we've seen recently compares to sort of the price rises put through in mobile by Bouygues in recent weeks? How should we think about the changing competitive dynamics that all of that adds up to? Thank you.
Christel Heydemann: Thank you, Andrew, for your question. So, as you know, the convergent has been the pillar of our strategy. And at the core, it's really focusing on churn, retaining customers, and we know convergence is a fantastic enabler. We take actually as positive that in a very competitive market on the low end, in France, competitors are launching convergent offers because remember that the first driver of growth for convergence and I'm going to come to maybe what your question is, which is do we see increased churn on our convergent base. But the first driver of convergence is when we acquire a customer -- I mean, whether it's broadband-only or mobile-only customer, the first driver is to add the mobile path or the broadband path to move them to convergent offers. And we see this as the trend of our new competitors offers or new offers from our existing competitors. And for us today, and I will hand over to Jean-François to talk about, obviously, maybe post-Q3 results, but we take it as positive because that means our competitors are focusing on increasing value from our customers, and we know that the low-end part of the market with very aggressive offers because of the purchasing power situation, there is a focus on then upselling and bringing customers up. We -- you see we have the lowest churn on the market. And obviously, focusing on retaining customers is really what drive us. And we don't see, of course, an increase of churn on our convergent base. But I will hand over to Jean-François maybe to give more colors on this churn or, I would say, convergent market.
Jean-François: Andrew, thanks for the question. If you remember well, in the second quarter, I mean you spotted that we had actually minus 17,000 net adds on convergence. So, we already explained that we were going to work on that. I mean, you see the results are slightly better over a base of 6 million, this is obviously a base, which is stable. I mean we are not yet happy with this because we are planning really to bring back that base to stability in the second quarter. Actually, what we told you in Q2 was that we were going to work on that. We've been working on that, and that was the launch of the 10th of October that you've seen of the new convergent offer for Orange. So, in a nutshell, what is this new offer about? This is enabling in a high-end package actually to have, let's say, a discount when you add mobiles of €5, which was not the case. And this is also enabling our mobile base when they're taking a fixed broadband to have a convergent discount, which was not yet the case before. And thirdly, we have also added the possibility for our customers who want to push them to actually take their OTT subscription such as Netflix with us. And if you take Netflix by -- with Orange, actually, you also have an additional discount of €5, which makes it very attractive. So, this is actually what we plan and what we launched on the 10th of October. I mean, indeed, you're right, you have seen that Bouygues had done a launch, I think, a few weeks before us and a few days before, week actually, but just to make it very clear, I mean, our offer was not an offer making reaction of that move. That was an offer we planned a long time ago. How do we see the Bouygues offer? Basically, we see it attractive indeed when you would add a lot of mobile to that broadband base. But as a reminder, the number of mobile -- the average number of mobile in our convergent base is 1.73. So, as you can see, we are actually pretty happy with this move of our other competitors. We see it as a, let's say, a move to try and get more mobiles in their own convergent base, which we understand. And we are, I would say, looking at that with a lot of serenity, and we are not worried about these moves on the market. And by the way, in the first weeks, it's, of course, very early to say anything, but we don't see any move at all on our churn. So really, we are very reassured by this move. And again, our convergent move was planned long before and is really here to help us stabilizing our convergent base in the next quarters.
Andrew Lee: Thank you. That's really clear. Can I just follow up, just a quick follow-up on your comments you're not seeing any move in churn at all. Is that -- obviously, I think you're referring specifically to convergent customers, but are you seeing any impact across your business at all from this shift in compared to the strategy?
Jean-François: No, we don't see any impact.
Andrew Lee: Thank you.
Operator: Thank you very much. Our next question comes from Mr. Nicolas Cote-Colisson from HSBC. Please go ahead, Nicolas.
Nicolas Cote-Colisson: Thanks. I've got one follow-up question on convergence. Just an explanation on why you think the contingent base was down in the first three quarters. Was it because the convergent customers were leaving you on the broadband side of things or because they were detaching the 1.73 lines they had with you on average? And my second question is on Africa and Middle East. I can see an acceleration of subscriber growth, but also a kind of a continuous slowdown in ARPU growth. So obviously, there's a mix of many countries, but is there something to read into these trends in terms of a commercial strategy? And if you could also update us on the degree of competition intensity in mobile money? Thank you.
Christel Heydemann: Thank you. So on the -- I'll start with the second one on MEA, we really have two dynamics. We have country mix. And as you know, when we add new customers and especially voice customers, that's mainly in low-ARPU countries where it's the impact of our CapEx and the coverage and we've had a very solid growth in some of those countries. So that's what driving the -- maybe driving the ARPU, but we are very confident in the mobile data growth. And when we see customers adopting mobile data, actually, the ARPU when we zoom on the detail, the ARPU is really driving up. And there's no doubt that this is probably our biggest growth engine compared to, I mean, amongst the four that we highlighted. So, there's no impact of Orange Money on the ARPU, and it's really the different growth engine dynamics. And I would say more than that, it's really the country portfolio. But maybe if Jerome, if you're on the line, you want to comment further? I'm not sure if we can connect Jerome. So, I will now move to the next question on the convergent base, and I will ask Jean-François to comment.
Jean-François: Yeah, thank you very much. On the convergent base, I mean, the fact indeed that we have very, very slight negative net adds, minus 14,000. I remind this is negligible versus a customer base of 6 million. There are a lot of movements indeed explaining that. I mean you can have people moving from a house to another and then there is eventually no availability. You can have people abandoning their mobile and basically staying with fixed broadband. There is not one movement, which is a specific trend. So I would say, again, I mean, minus 14,000 in a quarter versus a base of 6 million, this is a negligible movement. We can say our base is stable.
Nicolas Cote-Colisson: Okay. I get that. And do I understand correctly that you are intending to turnaround the trend in Q4?
Jean-François: Look, turnaround is a big word because we are trying to -- we are intending clearly with the new launch we did in October to stabilize the base.
Nicolas Cote-Colisson: Stabilize the base, okay. Thanks.
Operator: Thank you very much. We'll be moving to the next question, comes from Mr. Jakob Bluestone, BNP Paribas Exane. Please go ahead, sir. Your line is open.
Jakob Bluestone: Hi. Good morning. Thanks for taking my questions. I've got two fairly quick ones. Firstly, can you maybe just give us an update on your expectations around tax? You obviously reiterated your '25 cash flow as well as '24, but just sort of interested, given the fiscal tightening in France and the new measures, what you can say on your tax expectations, tax paid. And then just secondly, on your wholesale revenues in France, it's quite a big improvement in wholesale revenues. I think you said that was down to seasonality. Your wholesale revenue is a mix of quite high-margin stuff like cofinancing payments and low-margin stuff like interconnect. So, can you just help us understand, was the improvement in wholesale an important contributor to your EBITDA? It looks like your interconnect costs fell by about €40 million at the group level. So presumably, the improvement in wholesale didn't really help your margins, but just sort of interested in any color around that. Thank you.
Christel Heydemann: Thank you. I'll ask Laurent to comment on your tax question. I suspect your question was related to the France environment. And as you know, the discussions are still ongoing in the parliament, but Laurent...
Laurent Martinez: Yeah. So, good morning, Jakob. So, on the tax side in France, as you know, the budget is not yet voted, and so there is no final word on these subjects. If I just look at the project, which is being discussed in the parliament as we speak, the impact will be relatively limited for Orange. We are talking if we consider the same level of the taxable income in France than last year, around €60 million for '24 and around €30 million for '25. But all of that, of course, is depending on what will be the final outcome on these subjects.
Christel Heydemann: On the wholesale dynamics, so in Q3, we have some seasonality effect, mostly from non-recurring items. So, it's visitor roaming, for instance, but overall, for the full year, we expect Q4 to be in line with our first nine months -- for the full year to be in line with the first nine months. So, no specific high margin or low margin. It's really, I mean, stability on the full year. And we reconfirm of all the trajectory that we had announced during our Capital Market Day with -- on the '22-'25 trajectory.
Jakob Bluestone: Understood. Thank you.
Operator: Thank you very much. We'll be moving to the next question. The next question comes from Mr. Akhil Dattani from JPMorgan. Please go ahead, sir.
Akhil Dattani: Hi, morning. Thanks for taking the questions. I've got one on France and one on Spain. On France, if I could go back to the topic, I guess, we've been discussing for the first few questions, which is around the pricing environment in France. I guess, what I'm trying to understand is your KPIs are improving in the market and the performance has been pretty robust. But obviously, as you can see from the share price, the market is a little bit nervous around the pricing dynamics we've been seeing from you and your peers. So, can you maybe just help us understand big picture, what do you think is driving such reactive news in the market right now? And I guess if we step back and think about this price versus volume mix, how do you think about what this means going forward? So obviously, you're guiding us that the convergent base should stabilize into Q4, but I guess if we're looking at revenue and EBITDA, consensus is modeling next year, a flat to slightly growing base. I just wondered if you can give us some high-level comments on whether you're confident that you can sustain France being flat to slightly growing. So that's the first one. And then the second one on Spain is that we've had a lot of press speculation in regards to yourselves and Vodafone Spain signing a fiber JV and some of the press reports are suggesting that you could raise €3 billion to €4 billion from that. I just wanted to understand at a high level, can the number at least directionally be as big as that? And if we think about that, to what extent could that pull forward your decision on what you intend to do with that asset? Obviously, in the past, you've said leverage needs to come down to 3.5 times before you make that call. Just trying to understand, does this materially pull forward that decision-making. Thanks a lot.
Christel Heydemann: Thank you. So, on the France dynamic, I mean, it's difficult to comment, of course, on our competitive strategy, but we continue to see that we gain customers from SFR. And I think that's the case from other players, at least you should ask them. But indeed, we've seen and I think this is something we had described in Q1 and Q2. We've seen one of our competitors changing a lot it's pricing in the market and with limited impact on the ability to acquire customer. So, our strategy has been very focused on being focused on value, focused on network quality, customer experience. Of course, we want to be positioned, as we've said several times on the low-end part of the market with our Sosh brand, and you've seen the results, both in our Q2 and Q3 results. But our strategy is really focused on having the broad portfolio of offers where we can attract all types of segments and then very targeted segment approach on younger customers, of course, focusing on some specific needs and then the ability to upsell. So, again, our number one focus remains churn, churn, churn, focused on retaining customers. We have the largest customer base, but also very targeted and segmented approach for acquiring customers. So, yes, there's been a lot of comment in the market, I would say, on the price point -- entry price point in the low-end part of the market, which are indeed very low, but we see this is a market that's not contaminating the rest of the market base. So that's why we will continue to drive mix of volume-value, upsell to our existing customers, be focused on churn and some of the offers that Jean-François mentioned, be it the 5G plus offers that we launched for fixed wireless access, be it some of the new offers focusing on convergence, where indeed, this is the value, and you see that in our ARPU. This is what that makes us confident in our ability to continue to grow our retail services. On the Spanish environment, so again, the net -- the Fiberco project that we've announced back in July, and we're still in negotiation with Vodafone Spain. Indeed, there's going to be a financial, I would say, structuring, but this has no impact on our agreement with our shareholders of MASORANGE. Of course, this would have an impact on the leverage of MASORANGE, but this does not change the objective that we have to deleverage MASORANGE and the horizon that we have to deliver the synergies. And the primary focus of the MASORANGE team is, of course, to deliver synergies in a market in Spain that remains extremely competitive, as you know.
Laurent Martinez: Maybe, Akhil, I just add that in terms of the quantum of what would be the kind of dividend upstream, early days, but it will be a very material number. So I'm not confirming any numbers you have been quoting, but we are talking potentially about the material numbers. Having in mind that the closing of the operation of this project will be not before end of H1 '25.
Akhil Dattani: Sorry, Laurent, just to understand that, so what you're saying is that as a function of the cash proceeds that the unit will get from the Fiberco, you're saying that there will be dividend upstream to the two parent shareholders, is that right?
Laurent Martinez: No, I'm talking about cash upstream from the transaction to MASORANGE, which will be 100% as we said, to deleverage MASORANGE.
Akhil Dattani: Very clear. Thank you.
Operator: Thank you very much. We'll move into the next question. Next question comes from Mr. Titus Krahn from Bank of America. Please go ahead, sir. Your line is open.
Titus Krahn: Good morning everyone. Thanks so much for taking my questions. Just on my side, maybe the first one very quickly on your broadband net adds that are now back to growth. And as we can see a big driver -- a small driver, but explaining the delta has been fixed wireless, which you have also just mentioned on the call as well. And as I think the second relatively strong quarter on this one. Maybe could you talk a little bit about your strategy there and kind of what you could see as a natural ceiling and what we should expect over the next couple of quarters and maybe one or two years? And then maybe secondly, as a question, just following up on the Deutsche Telekom Capital Markets Day, we had this month, talking about their towers as a potential kingmaker in Europe. Of course, you have been much more skeptic about, I would call it, maybe financial engineering to some extent, but would you see operational synergies of consolidating those towers with DT, with other players as kind of pan-European tower consolidation anyway after those comments? Thank you.
Christel Heydemann: Thank you. Just I will hand over to Jean-François to comment. My comment on the new fixed wireless access, remember, we launched those offers on October 10. So, the comment I was making on our recent offers has absolutely no impact on our Q3 broadband performance. But I will let Jean-François comment.
Jean-François: Okay. So just to give you the details that you have in the pack on our fixed broadband net adds for Q3, we had a net loss of 267,000 ADSL customers, which is absolutely normal, compensated by 259,000 positive net adds on fiber and 14, 1-4, fixed LTE actually. So, this is indeed integral part of our strategy to have fixed wireless access. You can imagine that in certain parts of France, there is no fiber. So basically, that's the reason why Christel was saying we've launched a new fixed wireless access offer on 5G plus on 10th of October, we added on 4G before. So you're right. I mean this is -- but this is absolutely part of our strategy. And as you can see, this is a very, very limited part of our net adds 14,000 over 259,000 net adds on fiber.
Christel Heydemann: On the Capital Market Day of Deutsche Telekom, of course, I won't comment on their tower strategy. As you know, we continue to drive TOTEM focusing on value, so increasing the tenancy ratio. As we've always said, we truly and we value infrastructure. So, we like having infrastructure business. We're not interested in pure financial engineering options. But of course, all type of synergy we can drive. But again, the first and foremost synergy that we drive today with TOTEM are increasing the tenancy ratio on our existing footprint. So no comment on -- and as you know, we don't operate in the same markets as Deutsche Telekom.
Titus Krahn: Perfect. Thank you.
Operator: Thank you very much. Our next question comes from Mr. Stephane Beyazian from ODDO. Please go ahead, sir. Your line is open.
Stephane Beyazian: Yes, thank you. I've got two, if that's possible. The first one is on Orange business. I mean, clearly, the market is slower. It's obviously not just Orange, it's the overall market. So, I was just wondering if -- I'm talking about the IT segment, the IT part of it. I was just wondering whether that slowdown could derail your plan, which is to stabilize the EBITDA in 2025? And my second question is regarding the use of AI in customer centers. Deutsche Telekom has been mentioning that they have some targets by 2027. I was just wondering whether you -- on your side, you have anything to say about that. And perhaps if you could tell us how much of your customer center is internal versus external? Thank you very much.
Christel Heydemann: Thank you for the question. So, on the -- indeed, we see the pure IT segment under pressure. Now, when we look at our portfolio, and you see that from our cybersecurity business, actually, we have a very solid performance again in Q3, and so we don't -- I mean we don't look at all the markets in the same way. But indeed, we do not deny the fact that there's one part of the market we address and that enterprises make maybe more time -- take more time to make decisions on some large projects. But of course, we are very focused on turning around the Orange business activity. And we've mentioned we are focused, of course, on all the portfolio pruning, cost reduction. So, a lot of the driver for us to turn around the business are internal drivers and things we are focusing on. Of course, the market is what it is. But again, a big part of our, I would say, growth areas to rebound is, in particular, cybersecurity, that is very solid across the board, be it on large enterprises as well as smaller enterprises. On the AI ​​dynamic, we are, of course, very focused. We have more than 150 use cases already in production leveraging AI, and we will probably double the number of use cases moving forward. Many more are under exploration, and that's both for internal efficiency as well as network management and customer service. A lot of the AI ​​we are focusing on is to make our networks more efficient, so preventing maintenance, detection of issues, optimization of field intervention, et cetera, CapEx optimization as well. When it comes to customer service, I don't think the fact that call centers would be insourced or outsourced would have an impact on our ability to deploy AI because actually, for customers, it's transparent. And we do want, of course, to -- we offer the same experience whether customers call an agent that's an employee from Orange or from one of our partners. So, this has no impact. And the mix, whether it's internal or external, really depends from one country to another, and we work with many partners. So, we leverage the fact that we have third-party partners because they also work with other sectors, and that's helping us accelerate on our AI adoption, but this is definitely an area in which we've already launched a number of use cases, and we will continue to do so.
Stephane Beyazian: And if I can just follow up on that. The fact that on Deutsche Telekom side, they mentioned 15% reduction in calls by 2027, didn't feel very impressive to me. Would you say that chatbots are often not ready today to really address largely the customer service? I mean it still requires quite some time to be ready.
Christel Heydemann: I think, I mean, what we see as a real use case, it's -- of course, we've been focusing on reducing the number of calls for years, so this is not specifically AI-driven and we will continue to do so, but we also see customers calling our call centers as a fantastic upsell opportunity, and we don't want to miss that. And actually, when we look at the chatbots initiative that we have, they are still not doing this part of the work. So this is why we do believe there's going to be a very balanced approach to using AI, and AI will be used in some use cases. The first use case that we see is actually when customers call our support centers, there's a lot of wasted time on the phone with our agents, because it takes time to process the data, to type the data in the file, et cetera. And we see AI is a fantastic enabler as well of reducing the length of the calls, which is productivity as well for those support centers.
Stephane Beyazian: Thank you very much.
Operator: Thank you very much. The last couple of questions Next question is from Mr. Mathieu Robilliard from Barclays. Please go ahead, sir. Your line is open.
Mathieu Robilliard: Yes, good morning. Thank you for the presentation. I had a question about energy costs and how they can play out in 2025 and also in 2026, I know that's a bit far ahead, but when the RN program changes in nature. So I think this year, you have tailwinds in France only of about €200 million on your EBITDA. If I look at the current price of energies, you may have another small tailwind next year. But I was wondering, assuming, let's say, it's €30 million or €50 million, how do you manage to stabilize [Technical Difficulty] because this year with €200 million tailwinds, you're just basically slightly up. And next year, the tailwinds are going to be much reduced. So, maybe if you could share any of the initiatives you have in-house in terms of reduction of cost to offset that reduced tailwind? And in 2026, I don't know if it's too early, to give an impact of what the potential changes in the RN pricing will be? And then the very last one in terms of Poland, I note that the IT services revenues are down, and you flagged in the past that with the change in the government in Poland, there's been less demand or some delays in some projects, but at the same time, I can't ignore the fact that Germany -- sorry, Deutsche Telekom in Poland seems to be pretty well in that segment. So, I was wondering if you were losing market share there, or if you are confident that you could recover a growth trajectory in IT in Poland. Thank you.
Christel Heydemann: Thank you, Mathieu. On the energy, I'll hand over to Laurent, but the tailwind is not €200 million this year, just as an info.
Laurent Martinez: Yeah. So, good morning, Mathieu. So, the tailwind in 2024 is much less than that, and we say a few tens of million euros, that's not more than that. And if I look at 2025, we are roughly stable in terms of energy costs. When it comes to RN '26 and the trend in '26, it's bit early days, but that's basically the kind of numbers we are looking at for '24 and '25.
Christel Heydemann: On Poland, I will ask Mari-Noëlle to comment.
Mari-Noëlle: Hello. Thanks for your question. We were discussing [indiscernible] Tuesday morning, two days ago, and we are very solid on our market share. So, there is a slowdown in the market, especially due to this public sector, which is a little bit stagnating, but we are very strong on market share, so we're not losing ground towards competitors.
Mathieu Robilliard: Thank you very much. Sorry, I may be confused, but I think at some point, you had said that the energy tailwind in 2024 [Technical Difficulty] quite significant. Has that changed actually?
Laurent Martinez: Well, we said in Q1 that we would have a few tens of million euros. There is no change on this perspective. The €200 million you have been mentioning was the negative we had in 2023. That was a headwind in 2023 that was the numbers of €200 million.
Mathieu Robilliard: Okay. Thank you.
Operator: Thank you very much. The next question comes from Mr. Roshan Ranjit from Deutsche Bank. Please go ahead, sir.
Roshan Ranjit: Great. Good morning, everyone. Thanks for the question. I got two please, going back to France. So, we've seen another acceleration in the ARPU growth. I'm interested to get a sense of the mix between the upselling and any kind of targeted price increases that you have been deploying through the quarter or through the year? And secondly, Christel, you mentioned the good 5G volumes you saw over the summer. I think you've now ended the free 5G service for customers. Could you give us a sense of how many customers decided to opt in and keep the 5G within the plan? And just added on to that, I think, since we last caught up in Q2, one of your other peers have removed the €5 premium. How confident are you able that you can keep that 5G €5 premium within your plans? Thanks.
Christel Heydemann: So, on the convergence and overall on the ARPU growth, I mean, this is mostly driven by our convergent customer base. And as we've said, it's a mix of volume and value, but I will let Jean-François comment further.
Jean-François: Yeah. So Roshan, on the ARPU growth, you're right, I mean, most of it is linked to two effects. The first one is the targeted price increases we did last year as we explained. They were targeted, but they were still pretty massive, one. Second was, I remind the reduction of the commercial -- sorry, of the promotion period from 12 months to six months because this is really paying off now. This is the explanation. And there is a little bit of volume now as well, which we are happy with, because as you've seen in the previous quarters, we've raised -- we increased our mobile base and kept our base flat. So, the volume effect is slightly back, but very slightly. On the 5G, it's a very good question. I mean, we are just in the moment where we have offered 5G to all our base, including the ones that were only on 5G during the Olympic games. We prolonged that in September. So, we are just going out of that period. It's a bit early to tell you now how many people have been adopting. We've seen an increase during the summer period of the number of people that used to go purely from 4G to 5G, more or less been doubling. But now what is the effect of going out of that period, it's too early to say, so we will update you next quarter.
Roshan Ranjit: Great. Thank you. And just on the 5G premium, do you think that's sustainable going forward? Is that kind of what you guys are expecting to do for the rest of the year or coming quarters?
Jean-François: Yes, I mean, we are still on the same trends as Christel was saying. We are pursuing a very much value-based strategy by segmenting the base and using our premium on network, on mobile network to generate value.
Roshan Ranjit: Great. Many thanks.
Operator: Okay. It looks like we have no further questions. I'll pass the line back to Christel and her team, for the concluding remarks.
Christel Heydemann: Thank you all for attending our results call. So again, the strong third quarter results demonstrate the soundness of our strategy, great competence of our teams and the role we can play as our customers' trusted operator. Thank you all, and look forward to our next call end of this year.
Operator: Thank you very much. This concludes our conference call today. We'll be continuing with a media call at 10:30, so please stay on the line. Thank you very much. Goodbye.